Operator: Good morning and thank you for holding. Welcome to the Conn’s, Inc. Conference Call to discuss Earnings for the Fiscal Quarter Ended April 30, 2021. My name is Melissa and I will be your operator today. [Operator Instructions] As a reminder, this conference is being recorded. The company’s earnings release dated June 3, 2021 was distributed before market opened this morning and can be accessed via the company’s Investor Relations website at ir.conns.com. During today’s call, management will discuss among other financial performance measures, adjusted net income and adjusted earnings per diluted share. Please refer to the company’s earnings release that was issued today for a reconciliation of these non-GAAP measures to their most comparable GAAP measures. I must remind you that some of the statements made in this call are forward-looking statements within the meaning of the federal securities laws. These forward-looking statements represent the company’s present expectations or beliefs concerning future events. The company cautions that such statements are necessarily based on certain assumptions, which are subject to risks and uncertainties, which could cause actual results to differ materially from those indicated today. Your speakers today are Norm Miller, the company’s CEO and George Bchara, the company’s CFO. I would now like to turn the call over to Mr. Miller. Please go ahead, sir.
Norm Miller: Good morning and welcome to Conn’s first quarter fiscal year 2022 earnings conference call. We generated the highest quarterly net earnings in our 131-year history, which reflects our team’s success pursuing our strategic growth initiatives and stronger consumer demand driven by recent government stimulus. The underlying health of our business is extremely strong, with the best same-store sales growth in over 7 years and the most profitable credit segment performance that we have ever achieved. These trends combined to drive record quarterly adjusted earnings of $1.55 per diluted share. Our strong retail and credit operating performance demonstrates the benefits of last year’s prudent actions to de-risk and reset our business. As we emerge from the COVID-19 crisis, we are well-positioned to simultaneously grow retail sales while controlling credit risk. We have made significant progress achieving this goal during the first quarter. Compared to the same period last fiscal year, first quarter total retail sales increased 26.5%. Same-store sales increased 19.4% during the quarter, exceeding our expectations and on a 2-year basis, were up 1.8% as our team capitalized on robust consumer demand, the benefits of recent government stimulus and the continuing execution of our strategic growth initiatives. We achieved a strong retail sales growth while at the same time improving credit segment performance. Customer accounts 60 plus days past due at April 30, 2021 declined by 49.4% and re-aged customer accounts declined by 45.1%. I believe our strong first quarter retail and credit segment performance is a milestone in our evolution and reflects the meaningful and long-term opportunities we have to grow our business. I am particularly pleased by the significant increase in first quarter same-store sales, which occurred despite a year-over-year decline in sales financed by our in-house credit offering as our underwriting strategy remain conservative in response to the pandemic. I believe this speaks to the strength of our value proposition and our ability to expand and diversify our customer base as we continue to target a larger addressable market. Underlying trends throughout our business remain positive. We believe we are well-positioned to offset the waning benefits of government stimulus by pursuing opportunities to grow Conn’s in-house credit and third-party lease-to-own sales and benefit from our rapidly expanding e-commerce and omni-channel initiatives. Early indications for the second quarter are encouraging. And for the month of May, same-store sales were up approximately 10%, driven by robust Conn’s in-house credit and third-party lease-to-own sales. We believe fiscal 2022 will be a strong year for Conn’s and we expect annual same-store sales to be up high single-digits. So with this overview, let’s look at the meaningful progress we are making pursuing our four strategic growth initiatives that consist of: leveraging our industry leading in-house and third-party credit offerings; digitally transforming our business to better serve our customers; expanding our brick-and-mortar footprint; and strengthening our retail capabilities. The first strategic growth initiative I want to review today is the progress we are making, leveraging our best-in-class credit offerings. Our enhanced credit strategy optimizes opportunities between us and our third-party partners across the spectrum of prime, near-prime and sub-prime consumers. With the platform of integrated partners, we expect growth of our in-house credit offering to come from capturing a greater share of wallet of the higher credit quality customers within our core demographic rather than approving customers further down the credit spectrum. We believe this strategy will drive additional in-house credit sales while prudently managing credit risk. I am pleased by the early success of our efforts. In the fall of 2020, we began testing underwriting strategies and credit offers to grow sales within our current core demographic segments. Following encouraging initial test results, we began expanding these strategies to more customers in the first quarter of this year. In April, these strategies enabled us to grow our in-house credit sales, while maintaining the average origination FICO score at higher post-pandemic levels and we have further expanded these strategies to more customers in the second quarter. We believe these efforts will allow us to recapture a significant portion of the 20% reduction to same-store sales we experienced last fiscal year due to tighter underwriting associated with the COVID-19 crisis, while at the same time controlling overall credit risk and reducing portfolio volatility. The confidence we have in our in-house credit approach is supported by the lease-to-own partners we added last quarter. Lease-to-own trends continue to accelerate and lease-to-own sales increased by $16.7 million or 82% year-over-year. We expect momentum in our lease-to-own sales to continue throughout the year and support total retail sales growth in fiscal year 2022. We also continue to experience favorable retail trends from cash and credit card sales. Initiatives are underway to capture more prime customers and we believe we have a long-term and meaningful opportunity to connect with an expanded population of consumers. Moving on to our digital transformation and e-commerce growth plans. We continue to accelerate investments in our digital and e-commerce platform to provide consumers with a convenient, flexible and personalized experience across all channels of engagement. Initiatives include enhancing our direct-to-consumer platform, expanding our e-commerce team and improving the functionality of our digital capabilities. I am pleased with the progress we are making and first quarter e-commerce sales were $10.6 million, a 96% increase over the same period last fiscal year and over 3x annual e-commerce sales just 3 years ago. As we increase our focus on serving our customers where and how they choose to shop, we continue to believe we can double e-commerce sales again this fiscal year to over $50 million. The next component of our strategic growth plan is our significant and long-term white space store expansion opportunity. During the first quarter, we opened 6 new showrooms, including 5 within the state of Florida, growing the total number of showrooms to 152 as of April 30, 2021. We have increased our new unit expansion plan for the current fiscal year and now expect to open a total of 11 to 13 new showrooms. As the impacts of the COVID-19 crisis subside and we benefit from our enhanced retail and credit programs, we are becoming more confident in our geographic expansion strategies. Strengthening our retail capabilities is the final component of our strategic growth initiatives and I am encouraged by the progress we made during the first quarter. Overall, I believe our competitive position is improving and our retail strategy is well-suited for consumers’ focus on home-related products. In fact, all categories posted positive same-store sales during the first quarter, except for home office, which lapped last year’s spike in work-from-home and distance learning product sales. Throughout fiscal year 2022, we will continue to refresh and update our categories to drive traffic and appeal to a broader customer base. This includes a recent revamp of our mattress category, which expanded the assortment of brand name products we carry, including mattress-in-a-box offerings. I am also excited to announce that we launched DREAMSPOT, our first private label brand, which has quickly become our best-selling mattress. Additionally, we are increasing our product assortment within our appliance category and enhancing our furniture selection to appeal to a broader customer base to drive incremental sales within this higher margin category. Finally, sales of consumer electronics are benefiting from improving TV sales and higher videogame hardware sales as inventory, while still constrained, has become more available. The strong retail performance during the quarter allowed us to offset continued challenges associated with the COVID-19 pandemic and industry-wide supply chain inventory and pricing dynamics. Our team is doing an excellent job working to secure our share of available product as well as working with our vendors on opportunistic buys to help bridge the gap until inventories begin to recover. Like most retailers, we are also experiencing inflationary trends across many of our categories. We are closely monitoring the impacts of inflation and we will continue taking the necessary steps to mitigate its impact on our business and customers. Overall, I am pleased with the progress we are making across our retail and credit segments. We are successfully creating a seamless omni-channel shopping experience centered around our customers, which we believe is allowing us to capture a more diverse and larger addressable market of consumers, both within our showrooms and on our website. In addition, we believe having a local presence, next day delivery and in-house service capabilities further distinguishes us from our competitors. So, to conclude my prepared remarks, fiscal year 2022 is off to an outstanding start and we continue to believe we are well-positioned to create long-term sustainable value for our shareholders. Finally, our success is only made possible because of the amazing dedication and commitment of our associates. On behalf of the entire leadership team, thank you for your continued hard work and service. Now, let me turn the call over to George to review our financial performance.
George Bchara: Thanks, Norm. I am encouraged by the strong start to the year and by the positive momentum underway in our business. On a consolidated basis, total revenues were $363.7 million for the first quarter, representing a 14.7% increase from the same period last fiscal year. We reported GAAP net income of $1.52 per diluted share for the first quarter compared to a loss of $1.95 per diluted share for the same period last fiscal year. On a non-GAAP basis, adjusting for certain charges and credits, we reported record net income of $1.55 per diluted share for the first quarter compared to an adjusted loss of $1.89 per diluted share for the same period last fiscal year. Reconciliations of GAAP to non-GAAP financial measures are available in our first quarter earnings press release that was issued this morning. Consolidated SG&A expenses for the first quarter were $126 million, a $13 million increase from the prior year due to the addition of 13 new showrooms as well as higher variable operating expenses associated with sales growth and the lapping of certain COVID-19-related reductions. We expect SG&A expense to be up on a 2-year basis, primarily driven by more new stores as we expect tighter cost controls to largely offset continued investments in our growth initiatives. Looking at our retail segment in more detail. Total retail revenues for the first quarter were $291.5 million, a 26.4% increase from the same period last fiscal year. Higher retail revenue was driven by an increase in same-store sales of 19.4% and new store growth, partially offset by lower RSA commissions and retrospective income. Retail gross margin for the first quarter was 36.5%, an increase of 30 basis points from the same period last fiscal year. The increase in retail gross margin was due to a larger and more profitable mix of retail sales, partially offset by a decline in RSA commissions and retrospective income, as a result of lower sales of Conn’s in-house financing. We expect retail gross margin in the current fiscal year to be roughly in line with the prior year. Retail segment operating income was $15.7 million compared to $5.2 million for the same period last fiscal year due to higher retail sales and higher retail gross margin. Turning to our credit segment. Finance charges and other revenues were $72.2 million for the first quarter. The 16.6% decline from the same period last fiscal year was a result of a 24.8% reduction in the average balance of the customer receivable portfolio, lower insurance commissions due to a decline in the balance of sale of our in-house credit financing, and a decline in insurance retrospective income. Partially offsetting the decline in the customer receivable portfolio was record interest income and fee yield of 23.7%, an increase of 240 basis points from the prior fiscal year period. For the current fiscal year, we expect finance charges and other revenue will be down on a year-over-year basis, primarily due to a lower balance of customer receivables. Over the past 12 months, the credit quality of our portfolio has improved significantly due in part to the prudent de-risking actions we implemented last year. As a result, the carrying value of customer accounts receivable 60 days past due declined 49.4% year-over-year to the lowest level in 7 fiscal years, and the carrying value of re-aged accounts declined 45.1% year-over-year to the lowest level in almost 4 fiscal years. We remain focused on controlling risk, limiting portfolio volatility and achieving 1,000 basis points of annual credit spread while supporting our long-term growth opportunity, and I am encouraged by the improving credit trends and strategies underway in our business. During the first quarter, we experienced $17.2 million benefit to our provision for bad debts compared to $117.2 million expense last year. The improvement year-over-year was due to improved credit quality, lower charge-offs and the release of a portion of our economic reserve in the first quarter of this year compared to an increase in our economic reserve last year. We expect provision to be down year-over-year throughout the current fiscal year, but not at the level we saw in the first quarter, primarily due to a lower balance of customer receivables, improvements in our credit quality and an encouraging economic outlook. As a reminder, over the long-term, as our portfolio grows as a result of growth in sales of our in-house financing, our reserve under CECL will build at a higher rate than pre-CECL, which may result in higher provision for bad debt. Looking at the decline in our allowance for bad debts during the first quarter in more detail, approximately 40% of the decline was driven by a reduction in the size of our portfolio, approximately 30% was driven by an improvement in the portfolio performance, and the remaining 30% was driven by an improvement in forecasted unemployment rates. Our credit spread for the first quarter was 8.4% and compared to 6.2% for the same period last year and 7.2% for the fourth quarter of last year. Credit segment operating income was a record $43.8 million, primarily due to the first quarter provision benefit, improvements in credit performance and lower interest expense. Turning now to our balance sheet and capital position. We ended the first quarter with an extremely strong balance sheet and capital position as we continue to benefit from significant year-over-year growth in cash and third-party finance sales, robust cash collections on our customer portfolio, and fewer originations as a result of our tighter underwriting. This has produced meaningful operating cash flow over the past five quarters which we have used to reduce debt and strengthen our balance sheet. During the first quarter, we redeemed the remaining $141.2 million balance of our senior notes that were due in July of 2022, which has further optimized our capital structure, enhanced our balance sheet and left us with no near-term debt maturities. We ended the first quarter with $434.7 million in net debt compared to $813 million at the end of the first quarter of last year. In addition, net debt as a percent of the ending portfolio balance declined to approximately 39% at the end of the first quarter compared to approximately 54% at the end of the first quarter of last year and representing the lowest level in 8 years. I’m extremely proud of the success we have had over the past 12 months strengthening our balance sheet, de-risking our business and repositioning the company around our four strategic growth initiatives. As Norm mentioned in his prepared remarks, we are encouraged by the underlying strength of our business and the strong sales momentum we are experiencing so far this year. As a result, while demand and macroeconomic uncertainty in the back half of the year remain high, we currently expect same-store sales to be up high single digits this fiscal year as we pursue opportunities across our entire credit waterfall and execute on our four key strategic growth initiatives. Before we open the call up to questions, I want to share my thanks to all our team members for their continued hard work, service and dedication. So with this overview, Norm and I are happy to take your questions. Operator, please open the call up to questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Brian Nagel with Oppenheimer & Company. Please proceed with your question.
Brian Nagel: Hi, good morning.
Norm Miller: Good morning, Brian.
George Bchara: Good morning.
Brian Nagel: First off, congratulations on a really strong quarter, nice work. Amazing. So I have a few questions here. One, I mean, we talked a bit – Norm, we’ve talked a bit about the efforts of Conn’s to really cater to a new customer, and you mentioned it here again today. As we pull out of this, the COVID crisis, and hopefully, we get into an economy and society back to some sense of normalcy. How are you – what will the efforts of Conn’s look like to continue to cater to or speak to those newer customers, the customers that do not use or don’t look to utilize the Conn’s credit?
Norm Miller: Good question, Brian. So one of the things the pandemic, as we have talked previously about has caused is, we’ve realized, as the pandemic has unfolded, that our value proposition – because of our pricing, our next-day delivery, our in-house service, is a very attractive value proposition for that cash customer, that prime customer in addition to Conn’s financing and the lease-to-own. And you saw that in this quarter with our cash, credit card and third-party finance sales growing 70% year-over-year in the quarter. And mind you, some of that, we were lapping increased numbers of the first quarter last year as the pandemic underwent with that customer. So from a merchandising and marketing standpoint, we continue to stay very focused on the addressable market that we believe is out there across the credit spectrum. And what we’re excited about is not only do we believe we can continue to capture that customer, but because of our tighter underwriting here, significantly tighter underwriting, as you know, over the past 12 months. And we’ve just started taking some additional risk here at the end of the first quarter and now into the second quarter, we believe we can capture a significant portion of those Conn’s finance customers that we were declining in the past back over the coming year because our Conn’s business was down 20% plus in the – throughout the pandemic. So we believe we can capture much of that business back while simultaneously addressing that much larger market with cash and credit card. And now with the new lease-to-own partners, the combination of Conn’s and lease-to-own in the lower end of the – mid to lower end of this credit spectrum in conjunction with that larger addressable market at the higher end, we believe positions us extremely well here, not only for the balance of this year but going forward into the future.
Brian Nagel: That’s really helpful. As a follow-up, just on – I guess this is more focused on the credit side. So this we understand. So you’ve started to take, like you said, take more risk on. Is there a way to benchmark that? I mean, so your risk tolerance, so to say, is now where it was – where was it? And how much further does it have to go? And then the follow-on to that I have because I hear what you’re saying that the credit operation now is even stronger. So you’re taking out more risk, but you’re able to manage that risk even better. So then how – I recognize you haven’t given any, I think, long-term guidance on this, but how should we think about some of the key credit metrics we watch, whether it be 60-day delinquencies or something else? How should those track even as you take more risk on?
Norm Miller: Yes. Good question. Again, Brian. So what’s really exciting as we’re taking more risk here is that we’re taking risk with higher credit quality customers than we have in the past. And the reason that we’re able – the reason we’re doing that or able to do that is we don’t have to go as far down the credit spectrum with Conn’s financing because our lease – the two lease-to-own partners that we’ve added, we’re letting them pick that lower credit quality customer up that in the past, when we’ve taken more risk, we’ve gone deeper in the credit spectrum. Now we’re just going broader at a higher credit quality. And you can see that with our FICO scores. Prior to the pandemic, Conn’s – if you looked at the FICO score for Conn’s financing, it was running about 607, 608 on an average. And our FICO scores during the pandemic with the tightened underwriting ran about 617, 618. And now that we’ve started to take what I say more risk broader at that with that higher credit quality that the FICO scores are not dipping down. We’re staying at those higher FICO scores. And the reason that we can do that is because the lease-to-own partners were actually taking less risk lower on because the lease-to-own partners are capturing that at a much higher degree than what they ever have in our history. And that’s why our lease-to-own business, which was up 38% in the fourth quarter is up 80%. And it’s accelerated here in the first quarter. So we can – I hate to use this, but we can have our cake and eat it too. We can get the higher credit quality on the Conn’s side, but also cannot lose those customers on the lower credit quality side because of our lease-to-own partnerships have strengthened so much with the addition of the two partners. As far as credit delinquencies, look, the portfolio clearly has never been in the condition that it’s been in as it sits in today at any time in my 6 years here, and arguably, as good as any time in the company’s history. And the metrics that I would stay focused on, I would encourage investors to stay focused on is if you look at 60-day delinquencies, they are down materially. If you look at re-aged accounts, they are down lower materially. TDR, troubled debt restructuring accounts are down materially. Charge-offs are moving down significantly as well. So, if you look at those metrics going forward, our expectation is that we can maintain a very strong credit portfolio simultaneously while growing the business through Conn’s financing, through lease-to-own partnership as well as at the higher end of the credit spectrum as well.
George Bchara: Thanks Brian. This is George. I would just add to that, that sometimes, when we think about taking more risk, it means higher losses. That is not what we are talking about here. We are referring to a dynamic where we are growing the sale of our Conn’s in-house financing without actually taking higher losses because we are going deeper on the – we are capturing more of our share of wallet of the higher credit quality customer rather than going further down the credit spectrum.
Brian Nagel: Got it. Well, thank you and again congratulations.
Norm Miller: Thanks, Brian.
Operator: Thank you. Our next question comes from the line Rick Nelson with Stephens Inc. Please proceed with your question.
Rick Nelson: Thanks. Good morning and my congrats to a great start to the year. To follow-up on new strategies, taking in more risk with the in-house credit book, I am curious how much of a same-store sales driver those new customers are and how that’s impacting some of the credit steps for its payment default, for example?
Norm Miller: Yes. So, if you look at the first quarter results, you saw that our Conn’s finance sales were still down year-over-year 2% with the same-store sales performance that we had. I will tell you, April, we saw Conn’s financing for just the month of April, it was – they were actually positive sales year-over-year. So, we started to see benefit as we were taking – again, when we say more risk, it’s not further down the credit spectrum, Rick, which is what we have historically done in the past. It’s about capturing more of the wallet with the higher credit quality. We are actually taking less risk than we probably ever have from Conn’s financing lower down the credit spectrum because of the strength of the lease-to-own partners. We are letting them capture that business because of their profitability model, which enables us to go broader at the higher end of the spectrum. As far as from an initial delinquency and FPD, we are very pleased with what we are seeing. And as I mentioned with – on the prior call with Brian, if you look at our FICO scores, and we don’t underwrite specifically to FICO, obviously, we have our own proprietary underwriting models. But FICO, this is an indicator of overall portfolio credit quality, you are seeing that we are maintaining a record high for Conn’s financing FICO score originations at similar levels that as we saw during the pandemic, which is when we have seen this extremely strong performance from a credit portfolio. So, our expectation is we can continue to capture incremental Conn’s finance sales here going in through the second quarter and on the balance of the year and do that while maintaining credit risk at an acceptable level.
Rick Nelson: Any thoughts, Norm, on how credit was 49% of the sales this quarter? Any thoughts on where you will see that going with the new strategies?
Norm Miller: Yes. Good question, Rick, because what I will say is we are focused internally. And as you know – we are not focused as much on the balance of sale. We are letting that fall wherever it falls. What I would say is pre-pandemic, our Conn’s financing was north of 70%. I don’t expect it to be – to ever get back to those levels, primarily because we don’t want to grow Conn’s financing at the expense of taking sales from lease-to-own or one of the other segments on the credit spectrum. What we want to do is our expectation is we believe we can materially grow lease-to-own. We can grow Conn’s financing. We can grow higher credit quality as well as cash and continue to have cash and credit card deliver at a high balance of sale level over double of what it has been historically. And so – but at the end of the day, I mean, that’s a long answer to your question. I would expect Conn’s financing to be somewhere between 50% and 60% on a consistent basis going forward. But again, we are not targeting a specific BOS and LTO with our lease-to-own or any of the credit spectrum. Our mindset is we are agnostic from a credit standpoint. We want to – we believe we can grow all 4 segments. And whatever works for our customer is what we want to be able to provide them. And they – in many of our customers’ cases, they have multiple options. They may have a Synchrony option, a Conn’s option, a lease-to-own. We want to be able to provide them whatever option works best for them, be it in the store or online.
Rick Nelson: Thanks for that. That makes sense. So, like to follow-up. I know interest receivables, that stepped up pretty significantly in both sequentially and year-over-year. Is that part of the new strategy to attract these higher-quality customers?
George Bchara: Yes, it is. It’s a combination of both seeing a higher credit quality customer come through our door and us deliberately targeting a greater share of that customer’s wallet.
Rick Nelson: Got it. Thanks a lot.
Norm Miller: Thanks, Rick.
Operator: Thank you. Our next question comes from the line of Brad Thomas with KeyBanc Capital Markets. Please proceed with your question.
Brad Thomas: Hi, good morning and let me add my congratulations as well on the quarter and momentum in the business. I wanted to continue similar line of question around how to think about the credit segment going forward, both financially and strategically, how you are thinking about it. When I look at the peak P&L for the credit segment, obviously, you had a provision that was a big good guy here this quarter for you. But I think even if you adjust for that, we would now have three quarters of the last four quarters where you have had pretax income positive for the credit segment, which is really quite a feat. Normally, it’s been a money-losing business for you to support the retail business and the overall company. I guess I would be curious your thoughts on what the level of profitability you all might try to optimize around or what might be sustainable going forward as we think about the credit segment?
Norm Miller: Yes. That’s a good question, Brad. So what I will say is, we are still very focused on 1,000 basis points of spread. And we are focused on – I am not necessarily driving profitability out of the credit. If we can capture more retail sales on the Conn’s financing side, we are going to do that prudently. And as you heard me in both our comments as well as in some of my answers to the questions here that we are really – as we are taking risk here, we are doing it in a very different fashion than we have historically, certainly, in the 6 years that I have been here with the company and that we are not going deeper in the credit spectrum because what we don’t want is we believe we don’t want an issue in the future where, because of risk we are taking, that it comes back to bite us from a credit standpoint down the road. So, our intention is to make – to push that credit risk on those lower credit quality customers to the lease-to-own partners and for us, with our Conn’s financing to go with a greater share – to capture a greater share of wallet with a higher credit quality customer. Now when that happens, we are not going to – that will create opportunities potentially for the credit business to make money and be profitable. Because you are right, even if you adjust for the macro adjustment from an allowance change, because of the performance of the portfolio and the strength of the portfolio, it created nice tailwinds from a profitability. So, the bottom line is what I would say is there is opportunity for us to make money in the credit business going forward. I won’t say that, that is I wouldn’t take that if we have opportunity to grow the retail business and do that in a smart manner from a Conn’s financing standpoint. But if we do not, then we will certainly take the profitability term the credit side of the house.
Brad Thomas: That’s great. And a couple of housekeeping items here on the quarter and also a little bit longer term in nature. But the lease-to-own, rent-to-own, came in over 12% of sales, I think historically, you had targeted getting it to over 10%. How are you thinking about the opportunity and what the targets are going forward here?
Norm Miller: Yes. We are really trying to move away from, Brad, any balance of sale target. I know I had 10% out there for several years that we worked to achieve. We are more focused on that dollar increase because we don’t want to capture lease-to-own balance of sale because we are taking it from Conn’s financing or another part of the business. So, what we are more focused on as a team and in the business is how do we grow in raw dollars materially, our lease-to-own business, our Conn’s financing. From a dollar standpoint, our high credit quality as well as our cash and credit card customers. So you are right, our balance of sale was 12%. But it could actually go down if Conn’s financing grows faster than lease-to-own, but our dollars could actually go up. And that’s what the expectation is. We want the dollars in each of the category to go up because we put in the bank dollars. We don’t put balance of sale. Does that make sense?
Brad Thomas: Actually, it makes perfect sense. And then just a last one for me. We obviously – it was a unique quarter with all the stimulus dollars that were out there. Is there any way to quantify what kind of an impact it had on the retail and credit side of the business? I know it’s probably impossible to know for sure. But do you have any estimates for the impact?
Norm Miller: It’s a good question. Clearly, it had an impact on both the credit side with our cash collections as well as on the retail sales side of the house. It’s very, very difficult for us to quantify. Not that we haven’t looked at it in a variety of different ways, but what I would say is it certainly has had a positive impact. But what we are excited about is even as the stimulus starts to wane and some of the unemployment goes away with the opportunity in Conn’s financing and that we believe we have inherent within the business, we are very bullish about what the balance of this year and going forward, what the business model portends for us to be able to capture even beyond this fiscal year.
Brad Thomas: That’s great. Thanks so much.
Operator: Thank you. Ladies and gentlemen, this concludes our question-and-answer session. I will turn the floor back to Mr. Miller for any final comments.
Norm Miller: First of all, I want to thank again, echo my comments and George’s on the call to thank our 4,500 associates across the company for their hard work throughout the pandemic, as our stores stayed open and they weathered through it. We wouldn’t have had the quarter and the year that we have had without their hard work. So, thank you to them. We also appreciate everybody’s interest in the business, and we look forward to sharing our second quarter results with you in a few months. Have a great day, everyone.
Operator: Thank you. This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation.